Operator: Good day and thank you for standing by. Welcome to the Mettler-Toledo Quarterly Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session.  Please be advised that today’s conference is being recorded.  I would now like to hand the conference over to your speaker today, Ms. Mary Finnegan. Please go ahead.
Mary Finnegan: Thank you, and good evening everyone. I'm Mary Finnegan. I'm responsible for Investor Relations at Mettler-Toledo, and happy to welcome you to the call. I’m joined on the call today with Patrick Kaltenbach, our CEO; and Shawn Vadala, our Chief Financial Officer.
Patrick Kaltenbach: Thanks, Mary, and good evening, everyone. I am pleased to host the call tonight, which we are doing from Switzerland as Shawn and Mary are here with me too. I’m excited to report another quarter of excellent results. Several factors contributed to these results. First, demand in our markets was very strong and broad-based. Second, we were able to capture these growth opportunities as a key priority since the onset of the pandemic was to stay close – in close contact  customers and be strongly positioned once customer demand recovered. And finally, the teams around the world have done an excellent job in execution and customer support. Our supply chain team has had more than the share of challenges due to parts availability and logistics complications, while our market organizations have executed well to meet increasing customer demands. Our teams have shown resiliency and agility in an environment where conditions change rapidly.
Shawn Vadala : Thanks, Patrick and good evening everybody. Sales were 924.4 million in the quarter, an increase of 27% in local currency. On a U.S. dollar basis, sales increased 34% as currency benefited sales growth by 7% in the quarter. The PendoTECH acquisition contributed approximately 1% to sales growth in the quarter. On Slide number 4, we show sales growth by region. Local currency sales increased 29% in the Americas, 23% in Europe, and 28% in Asia/Rest of the World. Local currency sales increased 35% in China in the quarter. The next slide shows sales growth by region for the first half of the year. Local currency sales grew 23% for the first six months, with a 22% increase in the Americas, 18% in Europe, and 28% growth in Asia/Rest of the World. On Slide number 6, we summarize local currency sales growth by product area. For the second quarter, laboratory sales increased 35%, industrial increased 20% with core industrial up 27%, and product inspection up 9%. Food retail increased 9% in the quarter. The next slide shows local currency sales growth by product area for the first half. Laboratory sales increased 27%, industrial increased 19% with core industrial up 27% and product inspection up 7%. Food retail increased 11% for the first six months. Let me now move to the rest of the P&L, which is summarized on Slide number 8. Gross margin in the quarter was 58.1%, a 50 basis point increase over the prior year level of 57.6%. We benefited from volume and pricing, which was offset in part by challenges in the global supply chain, namely higher transportation, logistics, and raw material costs. These items are even more challenging than we had expected the last time we spoke.
Patrick Kaltenbach: Thanks, Shawn. Let me make some comments on our operating businesses starting , which had an outstanding growth of 35% in the quarter. Pipettes had excellent growth. All other major product categories also had robust sales growth and growth in all regions was very strong. Biopharma continues to be very favorable. And continuing the trend we saw in the first quarter we see strong customer demand in other segments such as chemical. We expect demand for our laboratory products to continue to be positive, due to favorable biopharma trends, vaccine research and bioproduction scale-up and production. While we face tougher comparisons in the second half of the year, we remain confident we can continue to capture share, given the strength of our product portfolio, and continued execution of our Spinnaker sales and marketing initiatives.  In terms of our Industrial business, Core Industrial did very well in the quarter with a 27% increase in sales. All three regions of the world had robust core industrial growth. Improving market conditions, including some benefit from pent up demand, combined with the strength and diversity of our product portfolio, and our focus on attractive market segments contributed to the strong results. Similar to my comments on laboratory, we will face tougher comparisons for the second half of the year, but our outlook and our confidence in gaining market share remains positive for this business. Product inspection had increased momentum and solid sales growth of 9% in the quarter. We saw good growth in all regions. We expect good growth in product inspection for the remainder of the year as we are gaining better access to our customer facilities, and belief we will benefit from some pent-up demand in the business. Food retailing grew 9% in the quarter. Let me make some additional comments by geography. Sales in Europe increased 23% in the quarter with excellent growth in Lab, Core Industrial, and Food Retail. Americas increased 29% in the quarter with excellent growth in Lab and Core Industrial. Product inspection did well in the Americas, while Food Retail declined. Finally, Asia/Rest of the World grew 28% in the quarter with outstanding growth in laboratory and industrial. As you heard from Shawn, China had another quarter of stellar growth. You would expect another good quarter of growth in Q3 in China, although not at the same level of the first half as China faces more challenging comparisons. We are strongly positioned in China and the team is executing very well.
Operator:  The first question will come from the line of Dan Arias with Stifel. Please proceed.
Dan Arias: Good afternoon, guys. Thanks for the question. Patrick or Shawn, pretty major growth you're seeing in China right now. What are you guys thinking about for the back half of the year? And I know we're a quarter away from the 2022 guide, but is there anything you can sort of offer when it comes to just thinking about, sort of the multi-year growth rate that makes the most sense as a forecast for China when you think about the strength of life sciences, the moving parts and industrial and just pent-up demand versus sustainable demand?
Shawn Vadala: Yeah. Hey, Dan, I'll take that one. This is Shawn. Hey, so, why don't I – I'll talk about maybe Q3 specifically, and then I'll talk about the full-year, and then you can kind of like, you know, back into what that implies for maybe Q4. But for Q3, right now, we're looking at high-teens growth for Q3. And then for the full year, we're looking at mid-20s. But, you know, we fully agree, you know, we enter the second half of the year with extremely strong momentum in China, also very strong execution from our team there. There's many favorable dynamics in China at the moment, whether it's life sciences, whether it's investments in industrial, whether it's trends towards automation, and digitalization, you know, many strategic investments in different sub segments, like micro electronics, or lithium batteries. And I feel like our team continues to do an excellent job of capturing these opportunities. You know, one of the challenges we start to have in the second half, though, of course, is that we start to lap some pretty significant comparisons to the previous year. And as you said too, like, there is a topic of pent-up demand. And, you know, when the recovery started in Q3 of last year, you know, that was very much a local recovery. And then this, kind of, we started to progress through 2021, it became – China was benefiting much more from the global recovery. And what's, you know, what's always hard to tell is how much are we benefiting from pent-up, and there also is an element of stimulus in China. We talked a lot about this last quarter as well, but clearly, the government's investing very heavily in many different sectors, whether it's programs related to the 5-year plan, or whether it's investments in the industrial sector, you know, further developing the Economic Zone going out to the western part of the country. And it's always difficult to tell how much we're benefiting from these trends as well.
Dan Arias: Yeah. Okay. That's helpful. Then maybe just on product inspection, it seems like things are picking up there as well. I think you have favorable comps in the back half of the year. I think like the average, over the two quarters is something like down seven. So, I'm just curious, when we think about, you know, regional dynamics, are there any things in the key geographies that make you think that the different regions are going to, sort of move at different paces or there's a trajectory for one that might be different than the other? I guess I'm just sort of asking for a little bit of detail on how we should chart the course for PI over the next, you know, call a couple of quarters?
Shawn Vadala: Yeah. I mean, right now, you know, we were, we're definitely encouraged with some increased momentum. I think we’d started to talk about some improvement in the pipeline last quarter. You know, we were pleased with how we landed on, we ended Q2. And if we kind of like look at guidance for Q3, you know, we're looking at low-double-digit and Q3, and high-single-digit for the year. So, we're starting to see definitely some improvement there.  If we start to think about it more geographically, I think we're going to see higher growth in the Americas right now. But I think, you know, there's still this pent up opportunity for all geographies as we go forward. I think there will be an element and I think we're well positioned for it. I mean, but there's also going to be an element of the, you know, the COVID variants and how that could potentially impact access to plants and timing of projects. And that creates a little bit of uncertainty, but we definitely enter Q3 feeling encouraged by increased momentum from what we were seeing last quarter.
Patrick Kaltenbach: Shawn if I might add – sorry . Shawn’s comments here about the region's I think we have definitely good opportunities across – around the world, but we also just recently launched a new mid-range version for the X-ray detection in China, which was actually specifically initially developed for the Chinese market to be very competitive in the mid-range market. So, we are looking also with quite some optimism on their development in China as well.
Dan Arias: Okay. Shawn, just to finish the thought on the comment you made on the Delta variant, or any other variant for that matter, are you starting to see any skittishness on the part of customers that are maybe, I don't want to say closing their doors, but just getting a little bit more nervous about access or is that just sort of the natural fear that you might have if we head in the direction that it feels like we're heading in?
Shawn Vadala: No, we're not. I mean, I'd say that we continue to see really, I mean, the variant, of course, impacts, you know, social activities, I think around the world. There are still lockdowns in certain countries, but that's more of a social perspective. From a business perspective, we don't see really any impact on our business at the moment. The reason why I mentioned it with product inspection, though, is if you just think back from the beginning of the pandemic, product inspection has been the one business that's, you know, arguably been the most impacted just from some of the dynamics in the food manufacturing sector.  We're not necessarily – we've seen improvement in those dynamics over the course of this quarter. Things are starting to, I'd say; reopen more, so we have more access to plants and facilities to work on projects than we did a quarter ago. But I just mentioned it because those things – dynamics can also change quickly if the variants start to create a situation where packaged food companies start to prohibit access to their facilities.
Dan Arias: Yeah. Okay. Thank you guys.
Operator: Your next question will come from Vijay Kumar with Evercore. Please proceed.
Unidentified Analyst: Hey, this is Paul on for Vijay. Just a quick two-parter. So, 15% annual guide sort of implies mid-single-digit growth in the fourth quarter, given the 3Q guide of 11% to 13%, somewhat similar comps, what's causing the 4Q step down? And then I guess what is the new guide contemplating for segment growth, what changed from the prior? I know you already talked about product inspection, but what about lab and industrial? Thanks.
Shawn Vadala: Yeah, sure. So, hey we're of course, very pleased with our year-to-date results. We're also pleased with our outlook. You know, as I kind of mentioned on the China comment, it's always difficult to assess, you know, how much we've been benefiting from topics like pent-up demand stimulus. And as we kind of look towards Q4, there's always the topic of budget flushes well. And as you all know, it's, you know, we never have a significant number of months of backlog. You know, we're typically at, you know, 1.5 or a little bit more than 1.5 months of backlog.  So, it's always a little bit more difficult for us to forecast beyond the current quarter that we're in. So, right now, kind of our planning assumption is to look at more normalized growth rates for Q4, but acknowledge there's always going to be upsides or downsides to our guidance. You know, maybe I can answer the second part of your question and just, kind of like walk down the different businesses and geographies just to, kind of get that out there as well too.  So, we kind of start with the lab business. You know, we're looking at mid-teens growth in Q3, and then we're looking at high teens for the full-year. If we look at product inspection, I think I already said this low-double-digit in Q3 and high-single-digit for the full-year. If we look at core industrial, we're looking at low-double-digit for Q3, and mid-teens for the full-year. And then if we look at food retailing, we're looking to be down low-to-mid-teens in Q3 and flattish for the full-year. And then by geography, we're looking to be high-single-digit for Q3 and low-double-digit for the full-year. For the Americas, we're looking to be low-to-mid teens in Q3 and mid-teens for the full-year. And then for China, we already mentioned high teens for Q3 and mid-20s for the full-year.
Operator: Next question will come from Jack Meehan with Nephron Research. Please proceed.
Jack Meehan: Thank you. Good afternoon. Good evening. I wanted to dig a little bit more into the Lab acceleration in the quarter. You know, even if you look at it on a compounded basis, I think it went from something like, you know 10%, 13% or so in the second quarter. How much do you think is funding versus mix shift in the portfolio? And  COVID made of  in the quarter?
Patrick Kaltenbach: Well, I'll start and I’ll let Shawn to chime in. Yes, so – again, very pleased of course, it's on momentum in Lab. I think a lot of it is based on our outstanding portfolio that we have, that we continue to improve. And you heard in my comments as well, about the new products we just recently launched. There is very strong demand across all regions in the lab business. As you know, over time, we have increased our share in Lab as a total part of the business significantly over the last years. And that will most likely continue as the underlying momentum in the end-markets is also very strong. I mean, a lot of it is driven by the life sciences market where we see a lot of adoption of our products. Our auto cam business is doing extremely well and is adopted also in new segments, like battery manufacturing and battery development for e-mobility. So, we have – we are very confident in our lab growth and that will – probably moving forward, given now as a strong link to biopharma beta one segment that will continue to lead the growth for all of the businesses. Shawn anything you want to add?
Shawn Vadala: Yeah, maybe a couple additional comments, Jack. You know, I think our results were just very broad-based across most product categories and regions, but Lab really does stand out a little bit, you know, above some of the other divisions this quarter. And what was kind of interesting is that the results were very strong in each region of the world. And as Patrick mentioned, the trends in biopharma just continue to be very, very favorable. And then we started to, we continue to also see strong growth in end-markets outside of biopharma. And we don't have a significant exposure to academia, but that was certainly an end market that we saw improve as well during the quarter.
Jack Meehan: And then, as a follow up was wondering if you could parse out how much pricing might have contributed in the quarter? I know you talked about the agility of the team there. Do you think, you know just curious how you see the landscape as it's changing? Do you think there could be even more pricing opportunities in the back half?
Shawn Vadala: Can you – Jack, can you repeat the first part of the question? I didn't hear the word you used.
Jack Meehan: Just how much pricing added in  and whether you think there could be more opportunity in the back half?
Shawn Vadala: Okay. Yeah, yeah, no, thank you. Yeah, hey, so we were very pleased with our pricing results in the quarter. And we, you know, if you think about, last quarter, we were kind of guiding 2% to 2.5% in Q2, and then we were looking at more like 2.5% in the back half of the year. We ended up finishing Q2 at 2.5%, and at this point, we expect to do between 2.5% and 3% for the back half of the year. And I would expect to be at the high end of that range by the time we get into Q4.  The team and the global organization continue to execute really well on our various mid-year price increase topics. It's also, as Patrick mentioned in the prepared remarks, you know, we're also very agile in this area. You know, the cost inputs are also dynamic as well. And we're constantly looking for ways to optimize the situation, you know, and differentiate our approach to the market.
Jack Meehan: Thank you, Shawn.
Shawn Vadala: You're welcome.
Operator: Your next question will come from Tycho Peterson with JPMorgan. Please proceed.
Tycho Peterson: Hey, good evening. I want to start with maybe earnings on the quarter, you know, you beat consensus by 6%, that's a lot less than the typical 20% to 30% beat. Can you maybe just talk to us some of the dynamics there? Was that inflation? Was that the supply chain challenges you talked about? Can you maybe touch on those?
Shawn Vadala : In terms of the Q2 beat, Tycho?
Tycho Peterson: Correct, correct. Yeah. I mean, it was less of an earnings beat than we've seen in prior quarters. And I'm just curious to know whether there were inflationary pressures or, you know that was supply chain pressures?
Shawn Vadala: Yeah, absolutely. That's what it was. I mean, you know, we of course had the benefit from higher sales volume. The primary – there was maybe two things that was offsetting that a little bit, but the primary thing was higher costs associated with transportation and material costs. And, you know, if you kind of like, look at our gross margin for the quarter, it was down a little bit from what we were guiding, you know, initially in the – at the, you know, at the beginning of the quarter, and it was very much related to higher transportation costs and material costs.
Tycho Peterson: And there was a lot more commentary in the prepared comments around supply chain. You know, if I go back to last quarter, you had a question, and I think you talked about building some safety stock, but it seems like things have maybe intensified on supply chain side, can you maybe talk to some of the steps you've taken there to alleviate some of the pressures?
Patrick Kaltenbach: Yeah, let me talk to that Tycho. So, under the supply chain side is this, I would say the suppliers engagement is particularly challenging with respect to electronics, that's probably the most concerning part for us right now. And you hear it also from different part of the industries. In that regard, we are also facing longer lead times we are starting to battle obsolescence issues. We have shorter notices from our suppliers, which then will require also R&D teams to jump in and to redesign some of the products. On top of that, transportation and logistics, as Shawn said, are also challenging for our team. We do see bottlenecks and delays.  However, we are really doing the work – we're working on these topics to help offset. In terms of mitigation strategies, again, on material shortages, what we do for electronic components, some of it is redesigning short-term our products to make sure that we can deliver. We have been very successful so far. I would say we have been very successful fulfilling our customer demand this quarter, but it's definitely locking in more resources than we initially thought. And we also of course as Shawn said, we are facing some price increases on components, electronic components , for example, which going out through  situations may just have to pay much higher prices than you used to. And that impacts us a little bit on the gross margin side as well. Moving forward, we are closely monitoring the situation. Again, we have team prepared with mitigation strategies in case situations get more tricky, but it's hard to predict where it might hit you next. Again, we are most exposed currently on some of the chronic parts. Some of it will more impact retail for Q3 as well as retailers leveraging, also components that are used in consumer electronics, and those are the most pressure right now. So, again, there are several areas where we have to tackle these issues. We have the right teams in place. And of course, we also trying different ways to supply material. For Q3, I think it will not be – so far what we’ve seen not be a major one, but we are on our toes to make sure that we can react as quickly as possible if this situation gets more intense.
Tycho Peterson: Okay, that's helpful, and maybe one last one. I know it's a little bit early, you're not going to guide till next quarter. But any kind of higher level thoughts as we think ahead to next year? The Street said about 5% revenues, 9% EPS, obviously a lot of variables around the pandemic, but I'm just curious if you have any high level thoughts for next year at this point? 
Shawn Vadala: Yeah, no, it's still a bit early Tycho. I mean, you know, there's a lot of moving parts. And Patrick and I are actually about to kick off our annual budget tour here in a few weeks. And then, you know, we'll be doing that for about a month and like we do with our normal cadence every single year. And I think we'll have a much better perspective and feeling once we wrap up that tour. And you know we'll definitely provide an update during our next call.
Tycho Peterson: Sounds good. Thanks.
Operator: Your next question will come from Derik De Bruin with Bank of America.
Derik De Bruin: Hi, good afternoon.
Shawn Vadala: Hey, Derik.
Derik De Bruin: Hey. So, a couple of questions. I guess the first one is, talk a little bit about gross margin progression in the back half.
Shawn Vadala: Yeah. So, you know, you wanted me to start there or do you want to ask a second part first?
Derik De Bruin: No, no. Start there, as opposed to  you with a whole  of stuff.
Shawn Vadala: All right. So, our gross margin was up 50 basis points in Q2, as you saw. We're going to be flattish for the second half of the year. So, as I kind of mention in the pricing question, you know, we expect the benefits from pricing to slightly increase in the second half. But of course, going the other side of that is these increased material costs that Patrick was just speaking to. The other thing that we see in the back half is that we will not have the same level of benefit that we've had in the first half a year regarding volume. And so that's probably the other thing that kind of stands out in terms of comparing the first half versus the second half. So, if you kind of like put that together, the full year is probably up in the, whatever 20 basis point to 30 basis point kind of a range.
Derik De Bruin: Got it. So, you know, the implied local currency growth in the fourth quarter was to be in the mid-single-digit range, and yet you're talking about potentially getting a 3% pricing tailwind. So that's implying, like 2% volume growth, that seems a little draconian of the drop off like that, I mean what sort of embedded in that?
Shawn Vadala : Yeah, I mean, I don't know if I'd consider it draconian. I mean, I think we, you know, we're just kind of like looking at the limited visibility that we had not to repeat all the things that I mentioned before, about, you know, how much have we been benefiting from pent-up and stimulus and things like that, but yeah, I recognize that there's a, you know, an upside to it, if conditions continue to be favorable.
Derik De Bruin : Got it. And just a little bit of a – just going back, I mean, the last time Mettler guided to 15% or something in the mid teens local currency growth was actually back in 2010, coming off at the financial crisis. And I think you did 14% in 2010, local currency growth, and that was off of a negative 10 comp. And now you're doing 15 off of a positive 1.8 comp. I'm just sort of curious on market dynamics, then now, and you know, because then, you know, then in 2011 you did 12% local currency growth the following year off of that. So, it sort of follows on to Tycho's question of, you know, why is 5% or, you know, why wouldn't we see-through like there's similar levels there, and what sort of like different about the market?
Shawn Vadala: Yeah, I mean, hey, I think we're very pleased with our 2-year growth this year. Very different situation, you know, as you can appreciate versus 2010. Fully acknowledge that our end-markets are coming out of this, at least we expect them to come out stronger. We feel like we're coming out of this stronger. We feel like there's market trends towards automation and digitalization that benefit us. So, when we think over the medium-term, we feel very positive. To be specific about what it all means for 2022, you know, like I said, you know, there's, you know, we kind of need to go through our normal process here to have a better view on that more specifically.
Derik De Bruin: Got it. Thank you.
Shawn Vadala: Yeah. Welcome.
Operator: Your next question will come from Patrick Donnelly with Citi. Please proceed.
Patrick Donnelly: Thanks. Maybe there's one on the industrial strength, you know, it's far more durable than maybe I expected among others. It sounds like the guidance is calling for a continuation in the back half and a little bit softer. But can you just talk through; I guess what you're seeing in that market? Obviously, China is an area of strength, but maybe on a geographical basis as well, just trying to get a better feel for the industrial piece.
Patrick Kaltenbach: Sure. Thanks, Patrick. I'll take that. We are extremely pleased with another quarter of very strong growth for industrial. China has a big impact on core industrial, but we also have seen very strong growth in Europe, in Americas as well. I think Shawn mentioned the fact already that we are not only benefiting from a strong recovery in our end-markets, including some pent-up demand here. But we are also capitalizing on the screws with those specific sales and marketing tools around to Spinnaker, and to be able to benefit from our diversity of our product portfolio in our end markets. We see also in China, I would say particularly in China, some investments and benefits from government investments. And our customers, as Shawn said, demand for automation for connectivity, for digitalization, which plays really well in our product portfolio that we have. So, I think this also has clearly in excess, I thing the advantage of our product portfolio is the underlying momentum and the focus on automation and productivity gains will continue to help us to continue to drive this momentum. We are extremely pleased with core industrial, especially, and we see some slowdown, of course in Q4 based on the difficult compares. But we're also looking clearly a core industrial for us as a continued opportunity to take market share.
Patrick Donnelly: That's helpful. And then maybe just one on, kind of the emerging markets outside of China, it seem to be coming back a little slower with low vaccination rates. And just, can you just give us a feel for what you see in terms of trends there as we work through the year?
Patrick Kaltenbach: Outside of China, look, if you look at Asia Pacific on a broader range, I think we are still up in the 20% range in the quarter. So, if you would point to some specific countries, we have, for example, Thailand and Malaysia, where we are weaker this quarter. And, but the rest of it, say in a broader base also had a pretty healthy growth.
Patrick Donnelly: Okay, appreciate it.
Operator: Your next question will come from Matt Sykes with Goldman Sachs. Please proceed.
Matt Sykes: Great. Thanks, and congrats on the quarter. And thanks for taking my questions. Just one from me, and it's more focused on costs. And you guys have invested a lot in digital engagement, both in the sales and the service side, and COVID was a unique period of time where your customers are forced to engage with you digitally. I'm just wondering, as you've had conversations in the last month or two, and maybe these will fade away if, do the variance, but as you've had conversations with customers and getting back engaging in person, have you seen that customers are more – have a greater desire to actually continue that digital engagement and therefore, on the SG&A side, there might actually be some cost savings that are more durable than you might have thought or do you feel that customers just want to get back to the where it was before?
Patrick Kaltenbach: Yeah, I'll take that. Thank you and look, what we're hearing from our customers, they actually love the new ways of – that we have engaging with them. I mentioned in my remarks up front, webinars where we really scale up significantly last year, we did a couple of hundreds of webinars and we now this year go to 2,000 because we see such a strong resonance from our customers on having that information  the action channel.  Then on top we have a really specialized Salesforce, which is also fully back in action. It gives us an opportunity to gain to use our direct sales force to really go also after competitive accounts and new accounts, approaching these with our solutions in it and their deep knowledge about our product portfolio, but use the broader digital channel, also for existing customers and begin broadcasting solutions in a much better way than we could in the past.  Our customers I think at the moment, if you look at, you know the amount of trade shows that are for example available still limited. So, they're really looking over to us to say, give us different ways of how you can demonstrate your products in, if you're not a trade shows, if you cannot attend trade shows we use digital demos, we have studios, every major site to do virtual product demos, and that has been very well received by our customers and I trust that it will continue that way. We will have a very complimentary set up where our direct sales force will be, you know in terms of consultative selling and product solutions will be on customer sides. But we will use the broader channel on e-commerce channel, also digitally interface with customers. It will be – it will drive efficiency gains, is it cost saving? I would say it's an efficiency gain for us moving forward. We do not think about this is necessarily an opportunity to scale back our sales force. It’s again an additional channel and in a competitive advantage for us to engage with customers on many different levels face to face interaction, as well as digital interaction. By the way, we also scaled up telesales over the last several years, significantly, to back up our direct sales force and that has been proven to be very effective as well.
Matt Sykes: Great. Thanks for the detailed Patrick. Appreciate it. I'll hop back in the queue.
Operator: Your next question will come from Josh Waldman with Cleveland Research. Please proceed.
Josh Waldman: Hey, guys. Maybe following-up on Matt’s question, a couple of questions on op expenses. Wonder if you could provide additional color on the magnitude and timing of the incremental investments you spoke of, I guess you know what level of step-up should we  for the second half. And any additional color on what these incremental investments are being targeted towards would be helpful as well. And then second, as we look to 2022 and potentially revenue growth maybe starts to normalize from the higher level this year, any concern in your ability to pull in costs commensurate to any slowing revenue or is there, you know, maybe some pull forward going on here in 2021 that de-risk 2022?
Shawn Vadala: Okay, hey, so – hey, Josh, I'll take this one. This is Shawn. So, hey, of course, there's a lot of different moving pieces with our expense growth. I think one of the big pieces to not lose sight of is that we had prior year cost savings. And of course, you know, that optically affects this year's number, as we kind of bring back, you know, the workforce and things like that, where we had some workforce savings from last year. We still have an element and we also had some discretionary topics last year, as well, where we had savings. The one area where we have not brought things back a 100% would be in the area of travel, and I think that one will play out over time. And then, you know, but then, kind of another factor, of course, is variable compensation, you know, and so if you think about like, last year, we had much lower variable compensation This year, we're going to have much higher variable compensation. And then the third piece, I would say, is kind of this element of the investments.  And the investments are very much a sign of the strength of the organization in terms of our end markets, and trying to pursue growth opportunities for the future, and really take advantage of the situation. So, I'd say these are certainly incremental investments. There are a wide range of different types of investments. We talked about field turbo resources, during our last call, that program is going to be a little bit more disproportionally invested towards China versus the rest of the world, but it is a very global program.  We're doing other things that are more sales and marketing in nature, that we, you know, do on an ongoing basis, but we're going to do a little bit more than we normally do, you know, during the second half of the year, and then we're investing in other things, you know, in terms of – from a product perspective, and – but I wouldn't say we're necessarily accelerating things, but we certainly are, you know, working down our priority list, you know, and so, you know, I think every company has a priority list and we are able to work down that list at a more accelerated rate, just given the strong results that we see in the business.
Josh Waldman: Got it. And then how should we think about the magnitude of the capacity investments you're making? Are those expected to hit more in 2022 or could it be partially seen in 2021 as well?
Shawn Vadala: In terms of manufacturing capacity, you're speaking specifically to? I wouldn't say, I'd say there's, you know, different investments in different parts of the business. I mean, I think it's going to be nothing that will be coming all at once. I think you'll see gradual improvements, nothing significant or material to any one quarter, but certainly things that will benefit, you know, each quarter, kind of going forward. And then some stuff will kind of kick in a little bit next year. So…
Josh Waldman : Got it. Thanks, guys.
Operator: Your final question will come from Brandon Couillard with Jefferies. Please proceed.
Brandon Couillard: Thanks. Good afternoon. 
Patrick Kaltenbach: Hey, Brandon.
Brandon Couillard: Patrick, you talked about, sort of using Spinnaker in terms of cross-selling an issue. I could be wrong, I don't recall Mettler talking much about that historically, is that a new aspect to Spinnaker that you're looking to capitalize on and what segments or what areas of the business would be most impacted by that?
Patrick Kaltenbach: Yeah. Thanks, Brandon. That's an excellent question. Yes, and it's not totally new, but we are definitely emphasizing it more because look, our product portfolio is broad, it goes across a broader part of the value chain of our customers, all the way from R&D, , into production scale up in manufacturing. And, you know, with Spinnaker historically we have been more focused on a very dedicated and prioritized save force along the different product lines. We are now looking at more intensely at cross-selling opportunities in the customer – on the customer side and also starting from, you know, from one existing sales contact on let's say, specific R&D contact to make sure that we understand better the customer side in terms of what other opportunities are for us to penetrate in the other parts of the customer organization, maybe QC, maybe manufacturing, maybe in production scale up. And they're using then these leads to then send basically other dedicated sales team members with the right background and knowhow to these other accounts within a customer count. Again, we don't use generalists. We have specialized work forces and this is where it's now, I would say different or enhanced from what they have done before. We are – we have more dedicated initiatives and actually as part of the recent leadership team meeting we had, we had that as one of the topic across all of divisional leaders and all of the business and market organization leaders on how we can do is more effectively moving forward to make sure that we capture all of the opportunities that we have at any given customer site.
Brandon Couillard: Brilliant. That's all for me. Thanks.
Operator: I would now like to turn the call back over to Mary Finnegan, for any closing remarks at this time.
Mary Finnegan: Thank you. And hey, thanks everyone for joining us this evening. As always, if you have any questions, please don't hesitate to reach out. Take care. Bye-bye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.